Operator: Welcome to Onex Fourth Quarter and Full Year 2020 Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session with pre-qualified analysts. [Operator Instructions] As a reminder this conference is being recorded. I will now turn the conference over to Jill Homenuk, Managing Director Shareholder Relations and Communication at Onex. Please go ahead.
Jill Homenuk: Thank you. Good morning everyone and thanks for joining us. We're broadcasting this call on our website. Hosting the call today are Gerry Schwartz, our Founder and CEO; Bobby Le Blanc, Onex' President and Head of Onex Partners; and Chris Govan, our Chief Financial Officer. Earlier this morning, we issued our fourth quarter and full year 2020 press release, MD&A, and consolidated financial statements, which are available on the Shareholders section of our website and have also been filed on SEDAR. Our supplemental information package is also available on our website. As a reminder, all references to dollar amounts on this call are in US unless otherwise stated. I must also point everyone to our webcast presentation for our usual disclaimer and cautionary factors relating to any forward-looking statements contained in today's presentation and remarks. I want to let everyone know that Onex is planning to host an Investor Day this fall we'll provide more information in the coming months. With that I'll turn the call over to Gerry.
Gerry Schwartz: Thank you, Jill and good morning everybody. Year end is always a natural time for reflection. As I think back to this time last year, it would have been hard to imagine the events that followed. In fact, I simply couldn't have. Even with those challenging conditions, the one constant for Onex has been our discipline as a long-term investor. We've endured cycles and disruptions by remaining focused on our core principles grow meaningful relationships dive deep into the industries we cover and build a diversified portfolio. A year like 2020 highlighted the importance of maintaining that discipline. Bobby and Chris will provide more details on our results, but first, I'll comment on highlights for the year. 2020 was indeed an active year for Onex with each of our platforms executing on value-creation strategies and I must say long-term value-creation strategies. In private equity, we had a successful year of realizations and deployments. And overall fund performance is tracking quite well. Our portfolio companies have for the most part weathered the pandemic, thanks to strong proactive management. Many are seeing benefits even in this new environment. Those more adversely affected often businesses dealing with the directing back of government-imposed lockdowns continue to have strong value propositions that will support their success as the recovery accelerates. Generating gross private equity returns of 24% and in the year like 2020 is plenty of evidence of our ability to create value in all environments. Throughout last year, Onex Credit and I'll now talk a bit about Onex Credit continued to build out its platform and product offering positioning it for future growth. Credit attracted strong talent to its team and has had early success with new strategies. With the acquisition of Falcon Investment Advisors, we now have capabilities and a proven track record across our entire credit platform as well as comprehensive integrated go-to-market strategy. I am confident in the Credit team's ability to deliver positive returns on the investments we have made and will continue to make this year. At Gluskin Sheff, Onex products continue to drive interest from their clients with close to $800 million allocated to Onex Credit and private equity strategies at year end. The benefit of being able to offer a more diverse product range was a core assumption behind our acquisition and we've been pleased with the response. At Onex itself, our people have always been the driving factor of our success. Throughout 2020, we added to our team in strategic and growth areas strengthening the breadth of our experience and the depth of our talent. We've worked hard and delivered a year of results and achievements that we can all be proud of. The appointment of Bobby to President of Onex was also a major milestone in 2020. Bobby has the leadership financial and operational acumen to continue to drive our organization forward. I'm incredibly pleased with what he's accomplished so far. Finally, I would like to thank you our shareholders for your continued support especially in a difficult year. One of Onex' other founding principles which is core to our culture is the alignment that our team has with you. We continue to see incredible value in Onex as an investment and great potential in the businesses we've built to drive long-term sustainable earnings creating value for all of us for years to come. With that let me now turn it over to Bobby. 
Bobby Le Blanc: Thank you, Gerry and good morning everyone. Q4 was another strong quarter for Onex contributing to an overall good year. We reported net earnings per share of $6.61 for Q4 and $7.63 for the year. Total segment net earnings per share were $7.72 for the quarter, up 43% from Q3 and $8.95 for the year up 11%. We ended the year in a solid position with investing capital per share up 18%, our strongest year of invested capital growth since 2013. These results speak to the diversification and resiliency of our overall portfolio and our ability to successfully navigate challenging market conditions. As global economies continue toward a more robust recovery we see opportunities across our investment platforms. We had a productive year in private equity with our funds realizing approximately $2.7 billion and deploying approximately $2.5 billion. With deployment we were able to drive opportunities through deep industry knowledge and long-term relationships. At Onex Partners, fund V is slightly ahead of pace at more than 50% invested, including our recently announced investment in Weld North Education. Weld North is the market leader in digital-first curriculum for K-12 schools. The increasing use of technology in these schools is a core theme for our software and business services vertical. We've followed Jonathan Grayer, Weld North CEO and the company for a number of years. With the benefit of our experience with PowerSchool we have a differentiated lens, which allowed us to thoroughly evaluate the opportunity as a value-added investor. Gross private equity returns for Onex were 14% in the quarter and 24% for the year. Importantly OP IV ended the quarter with a net IRR of 8%, putting it in a carry position for the first time. OP V also triggered carry this quarter, although obviously as future carry position will be impacted by ongoing capital deployment and investment performance. Based on the current marks, our PE platforms now have accrued carried interest attributable to Onex of $87 million, an increase of $54 million in the quarter. Chris will provide more information, particularly on OP IV carry in his remarks. Incorporating more direct operational expertise within our private equity team has been an important strategic priority. Earlier this year, we announced the appointment of Wes Pringle as the Head of Portfolio Operations for Onex Partners. Wes brings significant operating experience and will play an important role in both the due diligence of new investments and execution of operational improvement opportunities. Wes will also join the Onex Partners Investment Committee and he and I will work closely together in further developing our operations capabilities. Before moving to credit, I wanted to touch briefly on private equity fundraising. As a reminder, raising successor funds can begin once our current funds are 75% invested. As I mentioned earlier, OP V is now at just over 50% invested. ONCAP IV is approximately 70% invested. Therefore, subject to pace of deployment, we'd expect to be in the market with our next ONCAP fund later this year and Onex Partners by the end of 2022. Onex Credit continued its momentum in Q4, increasing assets under management and deploying new strategies to drive future growth. Fee-generating AUM was more than $15 billion at year-end, including our acquisition of Falcon. Excluding Falcon, fee-generating AUM grew 10% for the year. We issued four new CLOs and made good progress with other strategies across the platform. We are currently in the market with two credit strategies and we would expect to launch two more in the second half of the year. With the investments we made in 2020, we now have the capabilities in each of liquid, opportunistic and private credit investing. The platform is now well positioned to drive future growth and management fees and carry. Recently we've been communicating to shareholders that we intended to provide additional information on performance expectations throughout 2021 and beyond. For Onex Credit, we expect fee-generating assets under management to grow in the range of 25% to 30% this year leading to an increase in 2021, exit run rate management fees of approximately 10%. In credit, unlike private equity, assets only generate fees upon investment. So fees will increase, as more capital is deployed. As we look ahead to 2022 we expect further AUM growth for Onex Credit of approximately 15% to 20%. As you heard from us on the Q3 call, given the upfront investment we made in 2020 to build out the Onex Credit team, we continue to expect margins to be muted in the short term. With the level of AUM growth we're now projecting, we anticipate a return to a more normalized 40% margin for the business within the next three years. With the majority of the new AUM, also providing a carried interest component, there will be an additional upside to Onex' overall economic return. We see strong potential with the Onex Credit platform and we are confident in the team's ability to deliver enhanced returns going forward. Within wealth management, as Gerry said, we continue to see more Gluskin Sheff clients investing in Onex private equity and Credit products. Within the quarter, we saw approximately $190 million of Gluskin Sheff client capital allocated to Onex' strategies. As we look ahead, we expect to see further integration within our investing teams, particularly where we identified enhanced collaboration and information sharing opportunities. Overall, we feel positive about our ability to drive value across all of our platforms. With our strong balance sheet, we continue to have the flexibility to meet our private equity commitments, while also investing in other areas to grow future earnings. Finally, to echo Gerry's comments, I would like to take this opportunity to thank all of our shareholders for their continued support. I would also like to thank our employees who have managed through a challenging year, with the commitment and entrepreneurial drive that is core to our success. With that, I'll pass it over to Chris for more on the financials.
Chris Govan: Thanks, Bobby, and good morning, everyone. Onex' results in Q4 continued to reflect the strength and diversification of our investments, the ability of our portfolio companies and their management teams to navigate the pandemic and the underlying improvement in the financial markets, with the S&P 500 up over 12% and the CS Leveraged Loan Index returning nearly 4% in the quarter. Let's start by looking more closely at Onex' PE portfolio. Q4 included a net mark-to-market gain from private equity of $483 million, bringing the total contribution from private equity to $731 million for the year. This performance now reflects consecutive quarters with gross quarterly returns of 14% and as you heard from Gerry and Bobby, brings us to a full year gross return of 24% from private equity. This next slide details the allocation of the 38 separate businesses that comprise Onex' PE portfolio by industry segment. We experienced double-digit returns across pretty much all of our industry segments in the quarter. The strong performance reflects a continued recovery in the financial markets and it was led by our events and leisure and aerospace and defense investments, two of the industries that were most directly impacted by COVID. Increases in valuations can largely be attributed to the market and our businesses having better visibility on a return to more normal operations, following the rollout of vaccines and some lifting of government restrictions. However, it's worth noting that our valuations generally anticipate a bumpy return to normal that will stretch beyond 2021. When we pivot and break down our PE portfolio by COVID exposure, we see a strong recovery of the directly exposed businesses. These seven businesses were up 40% in the quarter and also had the largest dollar contribution to investing earnings. As a result, the group recovered most of the ground it lost during the first half of 2020, finishing down just 3% in the year. On a similar note, the businesses that we've identified is facing demand and/or supply headwinds in the current environment also saw a double-digit improvement in the fourth quarter. Having fully recovered the value lost earlier in the year and ending the year up 2%. Finally and equally important, is the nearly 60% of Onex' PE exposure in businesses where we believe the pandemic has either a low or positive impact. This group continued to contribute value, up 7% in Q4 and finishing the year up over 50%. These businesses should continue to provide Onex a hedge against COVID-related headwinds in the near term. Our credit investments had meaningful mark-to-market gains in the quarter, up 21% taking us into positive territory for the year with a 7% return. The increase was primarily driven by a strengthening of the underlying leverage loan market with the index returning 2.8% in Q4. As we discussed last quarter, the COVID-related impacts on the underlying loans means we no longer expect our pre-COVID CLO investments to reach the low double-digit IRRs we targeted rather the mid- to high single-digit returns we signaled in Q3. However, we do expect these CLOs to provide a meaningful positive return overall, and certainly attractive returns from their current marks. Looking back on the year, we deployed $57 million in four new CLOs, which we expect will provide strong risk-adjusted returns as well as a predictable stream of management fees on $1.5 billion of associated AUM over the coming years. Overall, shareholder capital per share was up over $11 from December 2019, driven by an 18% increase in investing capital per share, which as Bobby mentioned is our strongest year since 2013 in that regard. In absolute terms, shareholder capital was up only $226 million or 3% reflecting $444 million used to repurchase 9.8 million Onex shares. Nearly 10% of the SVS outstanding at the end of 2019. We were able to purchase these shares at an attractive discount throughout the year. As I showed you in previous quarters that discount was substantial, especially when giving full value to our cash and publicly traded investments. On that basis, our repurchases consistently imply the discount to the private investments north of 50%. For the full year, Onex' realizations totaled just over $807 million from private equity, primarily from secondary sales of SIG and Clarivate. And our credit investments returned over $100 million including $76 million of regular quarterly CLO distributions. On the investing front, Onex has put nearly $670 million to work in PE since the beginning of the pandemic, about half of which was deployed in Q4, including $136 million for an incremental investment in Convex and $200 million for OneDigital. With the announcement of Weld North on the first of this month, our investment pace has continued into 2021. Onex expects to invest $275 million in Weld North, which includes a co-investment of about $100 million. Next I'll spend a few minutes on the asset and wealth management segment. It generated net earnings of $99 million or $1.07 per share in Q4 and $87 million or $0.90 per share for the year. The year-over-year increases in net earnings both in the fourth quarter and the full year were driven by PE. In particular, a marked improvement in carried interest, as we began to accrue carry in OP IV and OP V. I'll go into more detail on the OP IV carry on the next slide. But needless to say, we're excited that the performance we've seen in the fund over the last couple of years as investors is now contributing to the asset manager's earnings. I'll also reiterate Bobby's earlier comment. With Op V being about 50% invested and much of that having been invested over the past year or so, we expect carried interest from Op V to fluctuate while the fund matures. The improvement from carried interest was partially offset by a reduction in PE management fees which trended down as realizations reduced the fee basis in our fully invested funds. The credit manager contributed $3 million in Q4 continuing to reflect the upfront investments we've made to build out the team and position the platform to meaningfully grow outside of CLOs and senior loans. As you heard from Bobby, we expect margins to improve in the coming years as these investments bear fruit. In wealth management, the net contribution decreased by $5 million year-over-year. In addition to investments we've made, earnings were impacted by lower AUM and lower management fees as we aligned rates to be more competitive. Lastly, before turning the call over to Q&A, I want to drill down a bit on the OP IV carry. Let's start with the fundamentals. For the GP to begin accruing carrying a fund, the LPs need to be earning at least the preferred return, which for all our PE funds is a cumulative 8% net IRR. This is referred to as the hurdle rate. With a net IRR that broke through the 8% threshold in Q4, we are just beginning to accrue carry in OP IV. If the value of the remaining portfolio falls or doesn't grow sufficiently to maintain a cumulative net IRR of 8%. The $11 million of carry accrued at December 31 would reverse. On the other hand, beginning to accrue carry, also means that there's a lot of upside as we build on that 8% net. As a result of the catch-up mechanism in the funds, 80% of the value we generate for our LPs above the hurdle rate will accrue as carry, until the GP has been allocated 20% of the LP's cumulative net gains. Since Onex is entitled to 40% of the carry, this means that $0.32 of every incremental dollar of value on LP Capital in OP IV will accrue to Onex in the near-term. The next slide illustrates this point. There are $2.7 billion of OP IV LP capital in the ground at December 31, with $11 million of carry accrued to Onex Corporation. In order to maintain our current carry position, we need to generate about $220 million of value on the capital in 2021, a return of 8% on that $2.7 billion. But as I said earlier, for every dollar of value above that threshold, $0.32 of carry accrues to Onex, while we're in the catch-up zone. So, if instead of 8% OP IV returns 15% to 20% on the LP capital in 2021, Onex Corporation would accrue additional carry of about $55 million to $100 million in the year. This of course is only an illustration. However, we think it's important to remember the potential for outsized increases in carry, as we move through the catch-up in OP IV's waterfall. We hope that OP IV continues to perform in 2021 and generates additional value for our LPs and carry for Onex shareholders. So with that, now, I'll be happy to take questions.
Operator: [Operator Instructions] Now our first question comes from the line of Geoffrey Kwan from RBC Capital Markets. Your question please.
Geoffrey Kwan: Hi, good morning. My first question was just, how you would talk about the deal pipeline today, but also too on the monetization side, how you think about potential opportunities in your portfolio, given the market environment at this state?
Bobby Le Blanc: Hey Geoff, it's Bobby. I hope you're well. The pipeline I'd say is still from a volume point of view, weaker than normal, but the quality of what we're looking at is pretty good. I think, some of that is just the market. I think some of it's also when we changed our approach to go-to-market for OP. We've become much more dramatic and pointed in terms of the opportunities that we're looking at. But the ones we are looking at now are quite good in -- have good action -- hopefully, we'll have some good actionability.
Geoffrey Kwan: Okay. And then in terms of monetization side?
Bobby Le Blanc: In terms of -- yes -- in terms of -- again, we don't talk specifically about individual monetization, but obviously we're always looking at our portfolio and asking ourselves what should be monetized and what shouldn't be. We have normal wholesale discussions on each portfolio company throughout the year. And obviously, there's been different -- there are different ways we could look at exiting some of our portfolio including the recent uptick in SPAC, which we've noticed and we get a lot of inbounds on those from a monetization point of view.
Geoffrey Kwan: Okay. And then, I know kind of when you look at the NAV, it's well diversified. There's no obvious concentration risks, but when you think about your larger investments and if we assume that gradual improvement in the economic environment over the next year, what would you say be let's say the three investments that you think could be relative outperformers in this context?
Bobby Le Blanc: It's hard to say. Again, you have to ask yourself, is it risk-adjusted returns versus absolute returns and things like that. But certainly, like a Convex for example, the backdrop of the insurance market and reserve strengthening that we're seeing in the pricing environment, there certainly could be upside there over the intermediate term. PowerSchool and more recently Weld North, I think just in terms of K-12 education and the stimulus dollars being deployed against that platform makes us very excited about the longer term prospects and they're both reasonably sized big checks. But we're kind of across the whole portfolio. Those are just a couple of highlights of things that could go well, but every dollar matters. And we're focused on the whole portfolio.
Geoffrey Kwan: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Scott Chan from Canaccord Genuity. Your question please.
Scott Chan: Good morning. Maybe Bobby just a follow-up on Geoff's question. In 2020, I think the deployment and the realizations were about even for Onex. So, if we look out into this year, how would you think that plays out? Do you think realizations would be larger than deployment opportunities?
Bobby Le Blanc: It's so hard to predict. Like it really is. It depends on what comes through the pipeline, what's actionable. What the demand looks like for some of our portfolios and our value-creation plans. So, I really would be reluctant to try to predict that. We -- it kind of falls out it is what it is. Sometimes, the market is better for dispositions, sometimes better for acquisition. In the case of last year, it was sort of equal, but it's very hard to predict. 
Scott Chan: Okay. Fair enough. And then, so you talked about Convex. And I think you mentioned that OP V is in a crude carry position. So does that imply right now that collectively that fund is at hurdle rate on a net IRR basis?
Chris Govan: Hey, it's Chris. Hi Scott. That's correct. OP V is above the hurdle rate and therefore accruing carry on a mark-to-market basis. Just to reiterate what I said in my scripted comments, it's only half invested. And so, as we put additional capital to work, that new capital can have a pretty significant impact on the cumulative IRR both, positive or negative, right? And so I think, what you should expect is that there could be some real fluctuation kind of quarter-to-quarter until the investments are a little bit more matured and you don't expect the IRR to be fluctuating quite so much.
Scott Chan: And just lastly Chris, now that the fund is 60% invested, when do you expect to start reporting the fund performance on a quarterly basis? And then, just first clarification, does the fund need to be OP V? Does it have to be 70% or 75% invested I just missed that before you start fundraising for the new fund?
Chris Govan: Yes. So I'll answer the second question first. 75% invested or reserved is the cutoff in terms of being able to actually close on a new fund. In terms of the IRR, we are disclosing the performance of OP V in the MD&A and in the report, Scott. I don't have that page number right at my fingertips. But it is in the report this quarter.
Scott Chan: Oh, it is. Okay. I'll take a look. Thanks a lot.
Operator: Thank you. [Operator Instructions] And this does conclude the question-and-answer session of today's program. I'd like to hand the program back to Gerry Schwartz for any further remarks.
Gerry Schwartz: Thanks everyone for participating in the call. We really appreciate your support and we certainly wish you and your families continued good health. Please feel free to contact Jill or Emily, if you have any questions. We look forward to speaking with you again next quarter.
Operator: Thank you, ladies and gentlemen for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.